Giorgio Iannella: Hello, everybody. This is Giorgio Iannella from the IR team. Thank you for joining EssilorLuxottica Q3 Revenue Management Call. The Group's CFO, Stefano Grassi will walk you through the revenue performance of the latest quarter. After his presentation, there will be a 30-minute Q&A session. [Operator Instructions] With that, I hand it over to Stefano.
Stefano Grassi: Hello, everyone, and welcome to our third quarter sales results. EssilorLuxottica in Q3, posted revenue up 4% at constant currency, which leads to a first nine months of 2024 with top line up 4.9% at constant currency. When we look at our revenue at current exchange results, we look at revenue up 2.3%, with a gap between current and constant exchange results that is broadly unchanged compared to what we've seen in the first six months of 2024. The main reason for that is the U.S. dollar. The U.S. dollar that during the month of July and August in particular devaluate quite strongly against Euro. The macroeconomic environment continues to be quite challenging, in particular in a couple of countries, the U.S. and China. But despite that, we had a strong delivery in both B2B professional solution and direct-to-consumer, both brick-and-mortar and e-commerce. On the direct-to-consumer side, we deliver a mid-single-digit pace with a double-digit in Asia Pacific, with a double-digit in Latin America and a strong contribution from EMEA. While we move to the B2B professional solution, we experienced a deceleration in Q3 compared to the trend that we've seen in the first six months of 2024. And the main reason for that was a bit softer results in Greater China during the course of third quarter. But now, as usual, let's start the journey across the four different geographies. And as usual, let's begin with the biggest one, North America. In North America, we experienced a slight acceleration compared to the Q2 delivery. The overall top line was up 1.6% at constant currency. And on the B2B side, the comments are going to be quite similar to the one that I shared with you during the second quarter. We had a delivery that was positive on both frames and lenses. On the frame side, I would say we continue to see strong demand from Ray-Ban Meta. We continue to see strong demand on prescription frame while the sun part of us business faced a bit of a soft demand and this is not new, we already seen in the previous quarter, in particular on the department stores. When we look at our lens business, the premium part of our lens brand portfolio was positive with Varilux with Eyezen that were very much instrumental to drive the growth during the course of our third quarter. And the nice thing is that we see that growth with a pretty good balance between price mix and volume. A quick touch on the channels. Our key account channel delivered a solid mid-single-digit growth in Q3. While on the independent side, we still observe a polarized picture. On one side, the eye care practitioners that are part of our Vision Source program deliver a good mid-single-digit growth with strong demand and product supply on frames, on lenses, on instruments. While on the other side, our remainder part of independent customer base was actually trending more on the negative territory in a market that I want to remind you continues to be still challenging and highly sensitive to price point. Moving now to direct-to-consumer. The third quarter comp sales were actually the best comp sales in North America for the year so far. Target Optical delivered a mid-single-digit comps. LensCrafters and Pearle Vision both delivered low-single-digit comps. A quick touch on sun. Comp sales overall was still negative in Q3. But if I look at my glass half full for a second, I'm pretty pleased about the performance of Sunglass Hut in September, where we turn comp sales into the positive territory, very much driven by the international Sunglass Hut location. And what I can tell you that as we enter now in the fourth quarter, the month of October was actually positive as well. So we see good traction happening now for almost two months, which is a nice lead in as we approach in the holiday season. But now as usual, let's move to Europe and the EMEA region that delivered 5.6% at constant currency. That is another strong quarter for the region. We are looking at the 14th consecutive quarter of positive growth in EMEA; high-single-digit delivery in direct-to-consumer, mid-single-digit on the B2B professional solution. Most of the key countries recorded positive growth in Q3. Eastern Europe, Turkey were double-digit, Italy, Middle East were high-single-digit while France on the other side was really the only country that had a bit of a deceleration due to the challenging month of August and many of you know the reason why and that is related to the Olympics that clearly created a lot of constraints to the ordinary course of business. Now if we look at a bit closely our professional solutions side, our independents were very much the channel that drove the growth in EMEA region. And that was true for both frames and lenses. In particular, the lens part of our business had a strong quarter with volume as the main driver, but also with price mix that nicely support our volume growth. On the frames side, I would say good prescription business, good sun with luxury and the premium passion part of our portfolio that were very much the key driver of our growth. Before we move to the direct-to-consumer, there are another couple of things that I want to share with you. First of all, in 2024, in the SILMO exhibition, our two key innovations, Transitions Gen S and Ray-Ban Meta, won the prestigious Silmo d'Or respectively in the category of vision and technological innovation in eyewear. And that proves once again the EssilorLuxottica leadership in product innovation. The last remark that I want to make today is related to the Olympics. We all have seen the great visibility that the Olympic Games have worldwide. And within the Olympics, the Oakley brand had an exceptional visibility in front of millions, hundreds of millions of people outfitting 2,000 athletes and becoming one of the 10 most visible and impactful brand at this Olympic Games. Direct-to-consumer now. The optical retail business delivered a high-single-digit comps on top of a strong quarter last year with double-digit in Salmoiraghi & Vigano, with double-digit in Turkey, with double-digit in the optical banner in Ukraine, and a high-single-digit delivery in Netherlands, in Belgium, in Finland and a mid-single-digit delivery in Vision Express in United Kingdom. Now when we look at our synergy realization, we're pretty happy with the progression that we've seen in GrandVision. As of today, approximately 70% of the lenses supplied in GrandVision come from EssilorLuxottica. And on the frame side, we have that percentage to be around 80%, including our proprietary exclusive brands. Last but not least are some retail. I would say we had a strong summer season here. Several countries, whether I look at Spain or DACH, whether I look at the Netherlands or Turkey, the Middle East of U.K., I feel good about this quarter and in general about the sun season. Probably one exception, that is France. And that is very much due to, I would say, slightly negative trend that we've seen in department stores in France. Now let's move east. Switchgear Asia Pacific, 5% delivery at constant currency. I remind you that we had a pretty tough comparison base last year in Asia Pacific. Our delivery was 12% growth rate. In the region, Japan delivered double-digit growth. India was on the high-single-digit territory, while Australia and Korea were on the mid-single-digit growth. In China, we landed in a slightly positive situation in Q3 in terms of revenue growth, but clearly, this is a deceleration compared to the trend that we've seen together in the previous quarter. I would say a couple of things on China. On the positive side, I think the resilience of Stellest lenses and in general of myopia solution has been pretty impressive. Stellest in Q3 deliver a growth in excess of 40% with approximately 2 million pair of Stellest lenses that were delivered so far in China. On the other side, I think when we look at Hong Kong, for example, we reported average sales. And I believe that we have in Hong Kong right now a structural lack of touristic traffic, consumer spending, and that obviously doesn't help to grow our revenue base there. On the other side also, the Bolon brand. The Bolon brand, during the course of a third quarter, experienced a quite material deceleration, very much driven by a weak sell-out data. Brief touch on direct-to-consumer, I would say pleasing to see OPSM deliver in the quarter with comps that were in a mid-single-digit territory and we enter now with a very similar trend in Q4 and that's obviously very promising as we approach the high seasonality. On the other side, our retail footprint in China struggled a bit with negative comp sales. And I would say that that was mainly driven by weak traffic across the China country. Latin America, the best performing region, up 10.1% during the course of a third quarter. In the LatAm region, we clearly benefit and continue to benefit from the tailwinds of Argentina. But in any case, all the key countries in the region like Brazil, Colombia, Mexico, Peru and Chile, they all deliver solid growth in Q3 with a pretty good balance between the two distribution channel, professional solution and direct-to-consumer. On the B2B side, I would say happy with both frames and lenses in Brazil, while on the Hispanic LatAm, we were double-digit on both optical and sun frames, while the lens part of Hispanic LatAm was a bit softer in Q3 due to a slow pace that we saw in Mexico in particular on a couple of key accounts. Moving to the direct-to-consumer, I would say double-digit comps in the optical retail banner with price mix that were very much driving the growth as we reshaped the overall assortment of lenses and frames, similar to what we've done in Europe with GrandVision. And that clearly is driving price mix up. While in the Sunglass Hut part, we have a double-digit in Anderson in Brazil and a low-single-digit in Mexico. But now, before I hand it over to the operator for the Q&A session, let me just close out today's session with a couple of remarks. We are entering the fourth quarter conscious of the assets we are deploying across the different markets. We are ready to face a holiday season and insurance week, a Black Friday, with a team that is very much committed and prepare for a strong execution. On top of that, we are consolidating from day one in the fourth quarter both Supreme and Heidelberg, which will give us an additional lift in our revenue profile. So I can tell you and shared already today that we have an expectation of revenue acceleration compared to the first -- to the trend that you've seen for the first nine months of 2024. With that, let me hand it back to the operator to start the Q&A session. Thank you.
Operator: Ladies and gentlemen, we will now start the Q&A session. Our first question comes from Luca Solca, Bernstein.
Luca Solca: Yes, good evening. Thank you very much for taking my questions. I would like to ask about the status of your collaboration on smart glasses. We saw that you extended the partnership with Meta and that you've been launching a new version of the Ray-Ban Meta glasses. I think the CEO had also been talking about potential stronger tie-up with Meta with shares being bought by Meta, and also about the potential ability to work with other players like Google. I wonder if you could expand a bit on that. And this would be my first question. When it comes to the situation in retail, I wonder if you could maybe give us a few signposts and give us quantitative elements as far as like-for-like growth is concerned in the most important chains if you could. Thank you very much indeed.
Stefano Grassi: Good evening, Luca. So let me -- let me take both of your -- of your questions. So the first one with respect to Meta. We are pleased to enlarge the duration of the partnership that we have with Meta and it's a partnership that will be a journey that we'll do together around wearable. It's a partnership that will last quite a few years, I would say that will take us to the next decade. And it's a partnership that will also encompass, presumably, I would say will encompass other brands. It is a partnership that has certain aspects of exclusivity that for obvious reasons we can't disclose. But I would say, if I have to judge by the results that we've seen so far with Ray-Ban Meta, the success the Ray-Ban Meta has had in many geographies, in every geography, I would say where it's commercialized and sold, I should say that we're very hopeful and confident that this is going to be a very successful journey together. The other part of your question is about the shares that was mentioned during last time that we got together in H1. We have nothing to report at this stage. The second part of your question relates to the retail performance so far. I mean, generally speaking, the trends are pretty clear. Let me say optical retail banner very strong in Europe. We continued the journey with the GrandVision. The integration is marching at a high speed. We see that journey of elevating the consumer journey in our optical retail banner going in the right direction. In North America, I would say consistent pace. Consistent pace, which is a good thing. LensCrafters, low-single-digit comp. It is exactly where we want it to be. Nice lift in Target Optical performance, mid-single digits. It's now becoming a good, consistent trend over there. Probably, the sun part. It's a kind of two velocity story, right? We have that soft demand in North America. But good September, good month of October so far. So we're very hopeful, as I mentioned before, that we're going to get into the holiday season with a very nice lead in considering where are we in the month of October. For sun, it has been a good month, a good quarter. In Europe, we've seen pretty much throughout the different geographies a good trend, good demand. I think the job that the team has done to improve the performance, it's remarkable. So Australia, we commented the good performance of OPSM, very happy with that. And really the only area where I would probably see a bit of a deceleration trend is the retail footprint in China. But again, I mentioned before and I said it again now, consumer demand and a macro environment that is probably more challenging than what we've seen in the second quarter in China, it's very much driving that direction.
Operator: Our next question comes from Chiara Battistini, JPMorgan.
Chiara Battistini: Hello. Good evening, Stefano and Giorgio. Thank you for taking my questions. The first question I have on Europe, could we come back, please, on the performance of DTC versus professional solutions? And notably, you've mentioned that professional solutions slowed in Q3. Could you expand on what drove that deceleration? Was it anything related to timing? Any more cautious ordering, anything more on that would be very helpful. And again on Europe and the rollout of Stellest, can you please remind us now in how many countries you're present, how that's going and sort of the pace of acceleration of that business in Europe? Thank you.
Stefano Grassi: Good evening, Chiara. So direct-to-consumer versus professional solution. I think direct-to-consumer, we commented in Europe, good trend. On professional solution, I would probably mention two things in Europe. One situation in France, I think we all seen the restriction that probably some of you had lived in their day-to-day life due to the Olympics in the month of August and really in the last probably 10, 15 days of July. So that had obviously a natural constraint in the evolution of business in France, but we're not concerned about it. I think the job that the team has done in Europe and in France in particular in the last few years, it's remarkable. And again, it's important that we highlight that. Probably there's another thing that I want to mention in Europe, because sometimes we tend to observe the single quarter. In EMEA, we had the last 12 consecutive quarter growth above or equal to 5%. So I mean, we are looking at a region that has been consistently delivering 5% or more in the last 12 consecutive quarters. So I would define this a pretty impressive track record. When we look at the professional solutions side, there's probably on top of France, another thing that I would mention is Turkey. In Turkey, we've seen a little bit more of a stabilization on the trend, but Turkey is still growing in double digits, so no reason to be concerned over there. Stellest in EMEA. Well, Stellest in EMEA, it's obviously a nice story from a growth standpoint. We're growing in excess of 70%, so we're pleased with that. And just to give you an order of magnitude, Chiara, you're looking at Stellest being around 10% of the size that we have in China, and that's something that can start giving you a bit of a flavor and an idea how to put in perspective the expansion and also the growth of Stellest in EMEA.
Operator: Our next question comes from Grace Smalley, Morgan Stanley.
Grace Smalley: Hi, good evening. Thank you for taking my questions. My first one would just be on Nuance space, if you just update us on the progress there and your anticipated launch timing and also how you're thinking about the Nuance opportunity following Apple's announcement last month. And then my second question would just be a clarification on the Q4 comments that you made at the end of the prepared remarks. I believe you said that you expect an acceleration in revenue growth in Q4, including also the consolidation impact from the recent acquisitions. Could you just comment if you also expect an acceleration in revenue growth on an organic basis, just given your comments on the Olympic headwinds that have now faded, and also your positive comments on the exit rate in U.S. sun in September and October? Thank you very much.
Stefano Grassi: Good evening, Grace. First question on Nuance. We confirming what we already shared. We do expect to launch Nuance between the end of this year, early next year, and we are in the process of getting the clearance from the FDA. Fourth quarter comment, we do expect an acceleration. And we do expect that acceleration in the trend versus the trend that you've seen in Q3 with the impact of Heidelberg and Supreme, but also organically, without considering the impact of Supreme and Heidelberg.
Operator: Our next question comes from Louise Singlehurst, Goldman Sachs.
Louise Singlehurst: Hi. Good evening, Stefano, Giorgio. Thank you for taking my questions. I'll stick to two. Just on Europe, and I know there's been a bit of commentary on this already, but the deceleration and the key factors, I wonder if you can just specifically talk about optical within that. Obviously, the double-digit in Q2 to mid-single digit-ish for Q3, I'm guessing, and I know you've highlighted France, but I just wondered ex-France, to your point just now, can we also expect an acceleration in Q4 all else equal? And then my second question was just with regards to North America, and you're obviously confident enough to highlight in the statement in the commentary about Sunglass Hut turning positive in September and also that's continued into October. Do you think it's time now that we can actually -- do you think we are genuinely turning a corner now for sustained positive momentum in sun? I know it's a big question to ask, but it would be great to get your comments. Thank you.
Stefano Grassi: Hello, Louise. Let me answer both of your questions. I think the first one that you were talking about is in EMEA, and I would take the optical question on the angle of the direct-to-consumer. If I'm wrong, please have a follow-up. The way we see the third quarter, it's still a very good story from a GrandVision standpoint. I think generally speaking, we've seen positive growth in all the key markets. Probably we've seen a bit more softness in the U.K. with Vision Express. We had a tough comparison base, in all honesty. So that's probably the only explanation that I have for you today. And in France, it's very much related to the Olympics. So we already seeing good traction in the month of October. And in general, we stay confident that we're going to see a good performance also during the course of the fourth quarter. We look at the, for example, subscription business, and that's obviously very promising for us because subscription business today represents about 15% of the GrandVision revenue of the optical retail revenue. That number was 10%. So it grew almost 50% year-over-year. So that part obviously creates a natural link with consumer and we believe is going to ramp-up furthermore. Just as of today, we're running slightly less than 20 countries with the subscription model. And I believe between the end of '25, early '26, we're going to have the entire optical retail banners leveraging the subscription model, which so far has been very successful. Sunglass Hut North America, whether we are turning the quarter or not, let's wait for a quarter to see and comment that. But for sure, we've seen a different trend beginning in September and through the month of October. We've seen that improvement in particular on the Sunglass Hut locations that are more exposed to tourism. So the 10% of a revenue base -- of the network, which represent 20% of a revenue base for Sunglass Hut, those are the ones that are usually more successful in the month of September and October. But again, I think the team is very committed and I think you're going to have a pretty exciting holiday season.
Operator: Our next question comes from Domenico Ghilotti, Equita.
Domenico Ghilotti: Good afternoon to everybody. The first question is on the Ray-Ban Meta. So if you can share with us some additional call on the performance on your current production capacity and if you expect sooner or later, also the AI feature that you have already presented in the U.S. market to be offered also in Europe. And the second question is a comment on the stake that you disclosed on Nikon, so if you can comment on it.
Stefano Grassi: Good evening, Domenico, buona sera. Ray-Ban Meta, very happy about the performance that we've seen. I mean, we -- it's an overall success story that we see. Just to give you an idea, it's not just a success in the U.S., where it's obvious, but it's also success in -- success here in Europe. Just to give you an idea, in 60% of the Ray-Ban stores in Europe, in EMEA, Ray-Ban Meta is the best-seller in those stores. So it's something that it's extremely pleasing. Clearly, in the U.S., the fact that we have that killer application that is represented by the artificial intelligence, it's a big plus. And to be honest with you, we can't wait to see that application to be also rolled out in Europe. I think it would be extremely beneficial to consumer. We start seeing some easing on the application for example, through a chat box in the U.K. But obviously, we want to see and wait for the entire rollout of that application to the remainder part of EMEA. No comment to the stake in Nikon. It's a good partnership for us. We have a lot of things that we're doing together and you've seen EssilorLuxottica in the past to take shareholding positions -- minority shareholding position in some of our other partners. I think it's a mutual learning. It's a good way for us to provide feedback, support some of our key partners around the world.
Operator: The next question comes from James Grzinic, Jefferies.
James Grzinic: Good evening, Stefano and Giorgio. I just had two quick ones. First one, Stefano, thank you for the update on the level penetration within the GrandVision change in terms of frames and lenses. Could you help us put that into context, that 80% of frames being your own brand and the 70% of lenses, where do you think that could go to and on what time frame? And secondly, appreciate your thoughts in terms of thinking about an acceleration in organic growth in Q4. Can you perhaps help us understand what the main drivers to that acceleration will be either by channel, by geography? Can you think about that more bullish Q4, please?
Stefano Grassi: Hi, James. Good evening. GrandVision question first, I think both can have farther room to go up, I would say probably a bit more with lenses than with frames. We already 80-plus percent on the frame business, so I think it could go up few percentage point, but no more than that. Probably on the lenses, we have a bit more rooms. So there still be some nice tailwinds of synergies in 2025. And that's what you're alluding to. The other question that you have is the fourth quarter. I look at where we've seen October so far and to be honest with you, we generally see good traction across the different geographies. I think we started the quarter well in North America. We -- in particular, I would say on the direct-to-consumer side, I mentioned Sunglass Hut trend, I would say good optical retail banners, pretty much all of them, and a good traction in Europe, and we're very pleased with that. In China, we have an important part of our business that is represented by Stellest, and Stellest continued to grow double digits. We are very pleased. And let's never forget -- let's never forget the resiliency of the vision care part of our business. It's about 75%, slightly less than that of our total business for EssilorLuxottica. And that has proven to be the most resilient part. If on top of that, we add the traction that we start seeing on the sun business, which we know has been soft, in particular in North America during the first nine months of the year and for Sunglass Hut also in 2023, I think we have all the recipients to see an acceleration on our organic growth for the fourth quarter.
Operator: Our next question comes from Cedric Lecasble, Stifel. Our next question comes from Piral Dadhania, RBC Capital Markets.
Piral Dadhania: Thank you. Good evening, Stefano and Giorgio. I just have one question, please. Please could you give some framework or clarification as to the quantified revenue target you've provided to 2026? I think it's a target of €27 billion to €28 billion. Relative to where market expectations are, that's a little bit below. So could you just help us understand how you get there and maybe what the market's missing in terms of the growth drivers? Thank you.
Stefano Grassi: So the -- good evening, Piral. 2026 guidance had a landing point of €27 billion, €28 billion in revenues, which is a natural evolution of a mid-single-digit growth trajectory at constant currency that we expect to see. That growth doesn't include few assets. For example, the development of myopia outside China, and for example, the -- some other development of online banners, optical online for example, so -- and wearable. That is the other part. So there are a few ins and outs in that, but the overall target that was given obviously put us in a very good position considering where we are today.
Operator: The last question comes from Anne-Laure Bismuth, HSBC.
Anne-Laure Bismuth: Yes. Hi. Good evening, Stefano and Giorgio. My first question is about Stellest. So are you still confident that you will get a clearance from the FDA by the end of -- in H2 2025? My second question is about the margin evolution. Can you provide us the key moving part for the margin evolution in H2? What could be the FX impact and are you comfortable with the 100 basis point margin expansion expected by the consensus? Thank you very much.
Stefano Grassi: Hello and good evening. So, first question on Stellest. We are confident to get the FDA clearance, and obviously, we said that we expect end of '25, beginning of '26 to launch this product. Remember, there are two technologies that are going underneath the FDA clearance. And remember that those technologies are highly effective. And we already proved that technology in other markets. So it's -- we're going through this natural process, but we have confidence that we'll get the clearance and we'll open up another important market, that is the North American one. Margin evolution. As you know, this is not really a margin call, but I would go back to the comment that I made at the beginning of the year where we said that we were expecting and we are expecting for 2024, a year of the top line growth, clearly. And the margin expansion profile then is going to be much stronger than what you've seen last year.
Giorgio Iannella: Okay. I will take the liberty to grab a few seconds to this call, because we needed to celebrate an important anniversary here, because 10 years ago, at the end of October, a new group CFO was appointed and that was Stefano. So at that time, an amazing transformational journey for our company started. And it's been amazing, Stefano, to go through that with you in your leading position. In 10 years, we met with you more than 1,500 investment firms, and it's been really an amazing journey. So we want, myself and the IR team, thank you for all of that and wish you the best for the next decade with us.
Stefano Grassi: Totally unexpected, but thank you very much. And have you all a lovely rest of the day and look forward talking to all of you in the next call. Thank you.